Operator: Good afternoon ladies and gentlemen and welcome to OceanaGold’s Q4 and Year-End 2014 Results Conference Call. At this time all lines are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for a question. [Operator Instructions]. I’d like to remind everyone that this call is being recorded on February 19, 2015. I’d now like to turn the conference over to Ms. Andrea Atell, Oceana’s Marketing and Communications Manager. Please go ahead.
Andrea Atell: Welcome to the fourth quarter 2014 results call and webcast. Thank you for joining us today. My name is Andrea Atell and I’m the Marketing and Communications Manager. On the call today from Melbourne is Mick Wilkes, Managing Director and CEO; Mark Chamberlain, Chief Financial Officer; and Edward Sagun, Corporate Controller. And in Toronto, we have Sam Pazuki, Investor Relations Manager; and Darren Klinck, Head of Business Development, he is also joining us from Vancouver. All the references in the presentation you are about to hear are U.S. dollars and adhere to the International Financial Reporting Standards. Please note that the presentation contains forward-looking statements which by their very nature subject to some degree of uncertainty. I would now like to turn it over to Mick Wilkes, to begin the main portion of the presentation.
Mick Wilkes: Thanks Andrea and good morning and good afternoon to everybody. Thank you very much for joining us today. I’m very pleased to present to you results 2014 performance. As you know we had a good year of development 307,000 ounces of gold produced and 35,000 tonnes of copper at a very competitive all-in sustaining cost of $795 per ounce. We achieved record revenue and record profits of US$563 million and US$111 million respectively and this was despite the continued lower commodity prices. As a result of the strong performance in 2014 the Board is pleased to announce dividend of $0.04 per share on Australian, Canadian and New Zealand shareholders -- shares. For the second year rather we have achieved indeed slightly exceeded our guidance for the year and the fourth quarter had a very strong production at the Didipio in particular. We are able to reduce our debt by $77 million and increase cash by $26 million to $51 at year-end. Very importantly we did achieve the operating throughput rate of 3.5 million tonne per annum in the fourth quarter as originally planned and guided to the market, so very pleasing results. Moving to result summary and as mentioned Didipio had a very strong quarter with just under 35,000 ounces gold produced and 6,700 tonnes of copper to give a full year results of 106,000 ounces of gold and 25,000 tonnes of copper. Similarly New Zealand had a strong quarter with just under 58,000 ounces of gold produced and giving a full year results of 201,000 ounces. The costs we had got within guidance a look to referred to the all-in sustaining costs across the company at $785 per ounce. The margins continued to be strong. We have increased the margin despite the lower commodity prices and this is -- because of the success and development and impact in operation on the Didipio and a continued focus on the efficiency and including capital expenditure in New Zealand and Philippines operations. As a result we generated free cash flow of US$105 million and that after all capital and corporate costs in 2014. We strengthened our balance sheet with this free cash flow and through debt repayment of almost $150 million over the past two years. We’ve also managed to increase our cash balance to $51 million compared to $24.8 million on cash balance $24.8 in 2013. So very, very strong results throughout the company. The dividend policy has been approved by the Board and we’re very happy to announce $0.02 ordinary dividend plus a discretionary payment of $0.02 for 2014. The discretionary payment is dependent on profitability and taking into account capital investment requirements for growth. The dividend payment of US$0.04 per share is equivalent to approximately US$12 million, it is payable on 30th of April to shareholders on record on the shareholder registry rights of the 2nd March. Moving on to the operations in Philippines, the highlights we exceeded production guidance in 2014 and very strong production particularly in the first quarter and the fourth quarter. We had quarterly gold production at 35 -- just under 35,000 ounces in the fourth quarter, mill feed for the fourth quarter was 870,000 tonnes which is pretty much bang on 3.5 million tonne throughput rate, that we had planned. The production in gold equivalent terms for those of you who report on that basis 242,000 ounces gold equivalent at a cash cost on a co-product basis to $535 per ounce and in only sustaining cost on a co-product basis to $672 per ounce. On a by-product basis, the 106,000 ounces and a cash cost of negative $420 an ounce and in only sustaining cost on the by-product basis of $103 per ounce. So it is a very strong project, very strong operation reducing significant quantities of copper and gold and generating very strong cash flows for the company. Didipio operating statistics, we did have one lost time injury unfortunately at Didipio that making up two lost time injuries for the year which is before, it continued to have a very strong focus on the safety performance across the company and our employees to report safety performance across the business that is continuing to show strong improvement year-on-year. The ore mines for the quarter was 2.5 million tonnes in the fourth quarter and given 8.4 million tonnes of ore mines throughout the year, slightly less than a year before. Waste mined 4 million tonnes in the fourth quarter and that is slightly more than the previous quarter as commenced CapEx -- further CapEx on the open pit and 16.98 million tonnes of waste mined in 2014. Ore grade 0.7 is term mine consistent with where we are in the ore body and copper grade with 0.54% copper. Mill feed for the year 3.11 million tonne, so exceeding 3 million tonne target for the year and pretty much well on track to achieve 3.5 million tonne per annum target for this year and [so on]. The feed grade in the fourth quarter 1.39 grams is very strong reflecting year-over-year in the ore body is very high grades coming in the core for ore body and the gold grade for the full year through the mill of 1.19 grams for gold and 0.86% copper. If you will minus that the copper grade is slightly lower than the quarter before and also the copper grade is lower for the full year 0.96, compared to 0.98 in 2013 reflecting as previously expected the copper grade does reduce as you get deeper into an ore body. Recovery to gold and copper continued to be strong with plus 90% of recovery achieved during the fourth quarter and just under 90% at 89.5 for the full year and very strong copper recoveries of 93.8% for the quarter and the full year. Importantly the completion of the ramp up to 3.5 million tonne through the debottlenecking and commissioning in the total price it was completed in the fourth quarter. So looking ahead at Didipio sales improvements and giving guidance on 2015, production and increased production at Didipio due to the increased throughput of the plants, so increased production to 120,000 ounces of gold 21,000 to 23,000 tonnes of copper and the overall sustaining cost of $200 to $250 per ounce which was higher than last year for two reasons, one is the high gold production means you get diluted kind of copper credit; and secondly, we have leased a lower copper price $2.70 per pound. So $0.10 per tonne change in the copper price will lead to an overall sustaining cost margin change deduction of ore increase of $40 per ounce, as to give you some guidance on how this effects us. Similarly the field prices in Philippines, if we have a $0.10 change in [legal] price it changes the all-in sustaining cost margin by $30 per ounce. And we did adjust our forecast in January for the full year reflecting by the lower copper price and lower fuel prices across the business. I am looking ahead in the Philippines, as I mentioned increased gold production and steady copper production, Q1 and Q4 expected to be the strongest quarters with Q3 the softest. Development of the underground portal is progressing well and is expected to commence the total development drive in light of this quarter. The power grid connection is on track with completion in Q3 and that just as a reminder will reduce our power costs significantly by some $8 million to $10 million based on current fuel process. And also I commenced -- we will be commencing a geophysical survey at our new tenement called Paco down in the northern shift of the Mindanao Island. So moving on to New Zealand and the highlights there, we achieved a production guidance of 201,000 ounces of gold produced at an only sustaining cost to $1,255 per ounce, and that was despite the geotechnical issues at both operations that occurred in Q2. We had a better quarterly production due mainly to the improved operational improvement at Reefton and that production at Reefton is higher due to better grades and increased mill feed as we established access to the higher grade sections of the pit following their geotechnical interruption. At Macraes the development of the new Coronation pit is continuing well and we are seeing all from that new pit being feed to the mill at Macraes this quarter. Lower fuel prices and a weaker New Zealand dollar contributed into lower costs. And of course we do have the hedges implied as you can see there, which give us some good color should the built towards weakening further. Looking at the operating statistics at Macraes gold production this is for the open pit in the underground gold production of 42,000 ounces for the quarter giving us a 153,000 ounces for the full year. Importantly we had a very good contribution from the underground net prices in the fourth quarter. Waste mined 95.3 million tonnes for the quarter and 10.8 million tonnes for the year. Waste mined is up this because of commencement of the Coronation pit in the fourth quarter of last year. Ore grade mines -- ore mined grade I should say is up mainly on the back of high grades achieved in the underground mine. Mill feed 1.5 million tonnes grade of 1.01 and very steady positive recovery achieved for the quarter and over 83% for the full year compared to 81% a year before and that’s despite a much lower head grade. So very good performance in the plant there and someone said to me the other day after 23 years we are finally hitting the steps. Moving onto Reefton; gold operating statistics. So gold production of 16,000 ounces for the quarter was back to the usual run rate at Reefton following the issues created in the second quarter and third quarter due to a lack of feed to the mill. Mined grade 1.45 and mill feed grade 1.52 and recovery of about 81%. Importantly waste mined at least have dropped off significantly with 1.73 million tons of waste mined and a ship ratio is just over 3:1. Access to the higher grade sections of ore at Reefton has been reestablished and we do expect to continue the strong performance in Reefton through to the end of the year when we're planning to put it on care and maintenance as the ore will be treated at that point. So good production expected at least in its final year. So guidance for this 2015 and we've given this previously, given to the market. The gold production of 195 to 250, all stayed across $1,090 to $1,140 per ounce. The next two years approximately 80% of the gold production in New Zealand is hit 8% to 10% of their operating costs associated with diesel consumption, so the drop in the fuel price has assisted that and we are looking at option in relation to hedge for the fuel in New Zealand. And as I mentioned before to related change in the diesel price does also lower sustained cost of about $10 an ounce in New Zealand, and $0.01 change in exchange rate approximately $15 per ounce. So the exchange rate in New Zealand dollars is important to us and we have benefited from lot of exchange rate in recent months. I think the exchange rates now 0.75 and previous guidance was at 0.78. We are benefiting from the stronger U.S. Looking ahead in New Zealand production at Macraes will be steady in 2015, lower in the first quarter versus the fourth quarter of 2014. Production at Reefton we expect it to be higher in 2015, Reefton cost is expected to be significantly lower and that’s because mining we wind down and of course less waste demand. Mining for the Coronation has been mix the prices underground mine pleased to announce we can -- do expect to see next two year of mining at prices underground due to the exploration with safety we’ve had there over the past 12 months and the new mining plans allowed for the full rate production both 2015 and 2016 and hope to be giving new recent [promotion] in 12 months time as we still need to develop and underground prices in parallel with open pit. And as mentioned the Reefton, we transition into care and maintenance at the end of this year. Moving along to some sustainability highlights and we were very pleased to receive the prestigious Safest Mining Operation Award in the Philippines at the 2014 Presidential Mineral Industry Environment Awards that is we received by our COO and General Manager at Didipio and is a great result. So, just the reflection of the very strong safety performance and culture that has been developed in the Philippines at our new operations. Another highlight is the accelerating education classes that have been established in El Salvador where we continued have a strong relationship with communities. I’ll now handover to Mark Chamberlain who will talk about the financial results. Thanks Mark.
Mark Chamberlain: Thanks Mick. Looking at Page 21 on the financial position. Our liquidity at the end of '14 was 163 million made up with cash of 51 million that's almost double the position in 2013 and the undrawn revolving credit facility we have in placed with syndicate international banks of 112 million. Total debt stood at 118 million is made up of that credit facility of 88 million and equipment leases of 30 million; this was net debt position at the end of the year 67 million a very comfortable position on a single debt to equity ratio it’s now 17% compared to 33% at the end of 2013. Looking to the next page where we got the financial results Mick went through a lot of these. Just to highlight the gold sales in fourth quarter was 88,000 and that's from 38% increase on Q3 as we indicated to take place and that left us with total sales for the year 318,000, up just 11,000 increase on the previous year. Copper slightly lower than the fourth quarter but overall for the year terrific result of 25,886 tonnes compared to 21,000 tonnes in 2013 that’s a 22% increase. As you see the total where the gold price received was about 7% down the previous year sitting 1,273 but the copper price overall about 4% down sitting at $3.11. Now despite the fact of those lower prices our revenue was a record of 563 million so is accretive to our operation division in both New Zealand and the Philippines with that achievement. EBITDA for the year, our EBITDA for the quarter was higher than the third quarter at 65 million on the net profit for the fourth quarter of 37.8. Overall EBITDA for the year 239 million, earnings before tax was 99 million. The depreciation of mine is almost the same, the net interest and finance cost have come down quite dramatically from 27 million to 11 million reflecting a simple debt structure of removable of the convertible notes. There was an income tax benefit which let us with our net profit -- came over both our impairment over the previous year at the net profit of $111 million. Going to Slide 23, where we look at the consolidated cash flow fairly simple, we have the opening balance for the quarter was 46 million, operating cash inflows was 60, investment 26, almost the same level the previous quarter moving at free cash flow of 34 million. All in all after financing outflows of closing cash balance of 51.2 million. For the year we look to free cash flow of 105 million financing at 75 reflecting the repayment of some operating leases and around 70 million of the core debt, small foreign exchange effect moving across the cash balance is 51. And investment capital there that we highlighted the 109 million for the year in the fourth quarter was identified down below of those paid non-sustaining 7 million power grid the credit costs are up and running and more work on the TSX, sustaining 11 million which comprises equipment lease repayments in New Zealand, the Coronation pit in the access road concreting of particularly the line items, and a pre-strip of 8 million for the Coronation Pit. I’ll hand back to Mick to sum up.
Mick Wilkes: Thanks, Mark. Well as I mentioned just in summary then the dividend has been declared this year is $0.04 per share higher than the one 30th of April the shareholder on record and business 2nd of March. So, I am very pleased to be able to be include that result and that news to shareholders. The overall increase in gold production is expected in 2015, the significant cash flow -- free cash flow generation is also expected to continue. The development of the underground will commence very soon as the pre-development work is already commenced. The power line, Didipio that will connect us to the grid is on track for Q3 and we will continue to identify and evaluate new opportunities to increase growth for the company. So, we are very active in the new space to further grow the company for shareholders. So, thank you, I’ll hand now back to Andrea.
Andrea Atell: Thank you, Mick. At this time, I would like to open the line for questions. For those who wish to ask questions, we will be taking them through the telephone only, so we ask you to dial in now and we’ll pause for few moments while we wait for the callers to queue, and I will turn the call back over to the operator to assist you for the process. Thank you.
Operator: Thank you. [Operator Instructions]. Your first question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: I guess 3.5 questions. First one with respect to the Didipio and the diesel guidance, can you help us more from a volume perspective in that I guess the ages complete was probably take diesel the current year you transition to off grid pound material movements decline. So, how do we think about the volume exposure to the Didipio and profile that that please?
Mick Wilkes: Good question Michael. I don't have that thing, is the figures at my fingertips, but it does reduce operating cost, sorry the lower fuel cost doesn’t reduce for any cost in the Philippines on an annual basis by about $5 million or $6 million a year. So in terms of volumes I am just -- can I get back to you on that?
Michael Slifirski: Yes, no problem. The second one I guess probably fuels or oilfields with respect to greater Didipio, I am just interested in how you really manage the operation? Was it accelerated mining due and to feed the mill with the highest possible grade and the consequence being now what’s left in the stockpile grade or do you budget somehow differently just understanding how that process actually works?
Mick Wilkes: We do drill on the long pad, but we do also try to maximize the feed in production on a quarterly basis. We are constrained little by the size of the ROM pad, so we can really earnings to the high value [drill] on the ROM pad and then the stock for the raw material elsewhere. And so, we do have this going lower grade stockpile and the plan is that it will be saving about the underground kicks in so you’ll have large loan growth stockpile that can be slowing down to supplement the feed from an underground for about 10 years. So that produces the depth some of value equation for Didipio, we've also delist the operation in that -- you fill a large stockpile there and you need come from underground from and you not exposed to any [water] necessary out of it.
Michael Slifirski: And two for Chamberlain, I guess, the tax New Zealand understand these are provisions tax and they feel the pain, so that doesn’t -- through the P&L, but the duration we see in the tax otherwise driven by New Zealand, how do we actually project what that outcome is?
Mark Chamberlain: I am trying to work out, I might have to get back to you on that about how we usually look at, but obviously it's an assessment of our forecast P&L going forward. Clearly we’ve got cash asset with the tax for New Zealand that we will use up as we see these mines come to their end of their life, but there is profitability. But perhaps take offline and we’ll talk little bit more about that.
Mick Wilkes: Sorry, we do have a significant tax asset in New Zealand that we could take advantage of some point with future production. So that is something that we are looking at.
Michael Slifirski: And finally sort first iron ore question or perhaps some [indiscernible] question. In terms of cash flow statement and where the various bits of activity actually appear? I know just a silly question but what goes into your development cash flow, what goes into production cash flow and what’s left in the operating for inventory. I get confused as to how you actually allocate between the three?
Mick Wilkes: In the cash flow statement investment capital includes sustaining capital and growth capital so the power grid connection and the pebble crusher growth capital. The Coronation pits stripping in conquering excess rate is down sustaining capital. So I guess in terms if you look at Slide number 23, the investment expenditure includes all capital expenditure and operating cash flows is also in corporate cost and exploration.
Michael Slifirski: I guess essentially what comes at operating cash flow, I can see the inventory. So what’s taken out of operating cash flow as inventory? Is that just the old billed or does that include the stripping applaud against that or does that go into the production under investing activities?
Mark Chamberlain: Inventories in the operating activities in the stripping and modern curve inside the investing activities.
Operator: Thank you. Your next question comes from Paul Hissey from RBC. Please go ahead.
Paul Hissey: I can see your explanation on the dividend there in the tech just to be clear so this time around it’s effectively a fixed $0.02 dividend with sort of $0.02 special. Is that correct?
Mick Wilkes: We don’t use the word special.
Paul Hissey: No, but you know what I mean, the discretionary. And going forward the $0.02 let’s just assume that's sort of a fixed number in the absence of other performance, is that just paid once a year $0.02 at the final or you likely to spread that throughout the course of the year?
Mick Wilkes: Just a one-off payment. Once a year.
Paul Hissey: And just one other question from me, what are your plans around that, do you intend to maintain the current debt level in the absence of any other target for your free cash flow, would you continue paying debt down and perhaps savings get to a zero debt position?
Mick Wilkes: In the absence of any opportunity to pay to invest, we would pay down debt to zero that point having it sitting time 4%. And we have a very good relationship with their banks and because of their performance they are very pleased with us and dying to give us more. So outplaying is to pay off debt that we do have in the absence of other opportunities.
Operator: Your next question comes from Reg Spencer from Canaccord. Please go ahead.
Reg Spencer: Just a couple of questions. If I can follow-up Paul’s question on the debt, can you give us an indication of what you expect to pay down over the course of 2015? Obviously notwithstanding any growth opportunities you may identify in that period?
Mick Wilkes: We expect to have $50 million to $60 million available for debt repayment and that's cost and dividend payments across.
Reg Spencer: And if I could just go back to your point on prices, guys obviously now looking at extension I guess I have previously planned mine loss there, I am presuming this is on the basis of high-margins on accounts the dollar move in the oil price move in the New Zealand. What sort of change you are thinking with regards to prices?
Mick Wilkes: Well that’s pretty much business as usual at prices. So as I said where the oil price does help a bit but it’s not the mining cost of prices is not totally dependent on the oil price because we don’t. Mainly it’s driven by exploration success and favorable development. So the every year we will do a bit more exploration out in front of the mining front. And being able to increase in base. So it’s a bit of a hedge now at prices and we have been successful in planning more higher gold tonnes to the underground as we extended both they are down at a little struck. I had mentioned before that my belief is that’s a pretty more technical ahead on but as long as there a computer operating with Macraes you're likely to see an underground operation. If you continue to on that volume just continuing exploring in front of the existing production. So we don’t have that in our guidance that it would continue to 2017 and I wouldn’t be surprised if it would be -- and you'd be able to keep the underground going until the open pit finish it up.
Reg Spencer: And just one final question on the tax, when do you currently project that you commence time cash tax payments?
Mick Wilkes: In the Philippines?
Reg Spencer: Yes.
Mick Wilkes: Yes, 2019, at the end of 2019 it’s about when it schedule for and yes, at current price it’s about when we would pay-off some cost of $460 million.
Operator: Thank you. Your next question comes from Benjamin Asuncion from Haywood Securities. Please go ahead.
Benjamin Asuncion: Most of my -- sort of been answered off, but just to clarify I guess on New Zealand what’s sort of tax shield that you have there available in total and can that be applied to all operations within the country?
Mick Wilkes: That’s a good question. We’ve got about the $140 million New Zealand dollars tax losses that accrued over the 23 losses in -- and about a 100 million of that is a valuable for other operations. About 40 million is very sensitive to particular projects that as an example of other operations so it could be applied a $100 million Blackwater project is running there where we could probably apply some of those tax losses.
Operator: Thank you. Your next question comes from Brett McKay from Deutsche Bank. Please go ahead.
Brett McKay: Can you just remind us what the percentage of the cost base in at the Didipio is denominated in local currency versus USD?
Mick Wilkes: Brett, most of the -- for modeling purposes you should assume in U.S. dollars because the Philippine peso pretty much follows the U.S. dollar. I couldn’t give you an exact percentage in terms of pay that it’s not a big number to most of that contracts are based on U.S. dollar contract for supply, so we got 10% or 15% on the peso but as I said the price on the U.S. dollar that exchange rate doesn’t change a great deal.
Brett McKay: And just secondly on exploration, you’re doing much around the Didipio, at the moment or slightly last year there was some I guess initial excitement around possibly targeting the extension of the Didipio ore body on the other side of [indiscernible] has there been any further work done on that or is it sort of mostly being focused on getting the underground going?
Mick Wilkes: We had been within two rigs operating at the Didipio now doing around drilling around the ore body in the mining rigs. We have had mix of success so there is some -- we are drilling geophysical targets generated from the geophysical survey. So those results are pending but we are continuing to drill in that area.
Brett McKay: And just on Paco when do you think that geophysical survey will be completed and you might be in a position to start talking about some growth targets there?
Mick Wilkes: We’ll finish that in the first half, the geophysical survey. We’ve done a sample in programs and look for geochemical anomalies and that will set into model. So hopefully by the second half of this year we’ll be in position to start drilling at Paco, if we find some reasonable targets to drill. Paco has going to stay that is cover on it that’s what we do in geophysics.
Brett McKay: And any further movement on the advance in the rather applications at the moment?
Mick Wilkes: Yes, there is some movement but it's very slow but we are encouraged by the fact that we did with one permit review in Paco and we continue to level the government for the extension of the exploration permit at the Didipio and of course the existing tenement that may add which is adjacent to which is on the Paco and Mindanao. So we continue to work with the government on that.
Operator: Thank you. [Operator Instructions] Your next question comes from David Coates from CIMB Securities. Please go ahead.
David Coates: That was good result, well done. Let say just quickly, I just wonder if you could give us a bit of some back around you're thinking on bouncing the dividend which I can understand some investors are trying to see, but so that was fairly modest year and then also growth explorations for the year ahead and just getting better drop of that?
Mick Wilkes: I have said all the long we're not to develop the business, don't have returns to shareholders through dividend and growth to company and the inclusion of the dividend policy it's in the business demonstrates just what I was looking for a discipline around how we run the business, where we're effectively in returns to shareholders as part of our plans. And those plans also include growth of the company. So, this is a demonstration and that discipline that we're applying and get a strong business should have dividend in it, even gold companies and with very strong cash flow business like we do have now in the Philippines, we can’t afford do that in our forecast show down. And that doesn’t stop us from investing in other opportunities and there is plenty of headwind for that. And don't forget we’ve got a significant support from our debt capital markets, we’ve got syndicated trials banks and support us under future growth opportunities and there is a [condo] line as banks lining up behind and to offer debt financing as well. So, you got a balance that all up and what I said all along is the main production size is average down, when viewing the growth sizes leverage up, so we’ll be looking to use some of that capacity in that big funding to leverage up and some minimize to do any sort of influence or impact on our shareholders’ equity. I think is all done.
Brett McKay: And secondly, just -- I was just wondering what sort of milestones we should be looking at for what’s the development of the underground at the Didipio through the course of this year?
Mick Wilkes: It's a good question. Really it's just about a single tunnel going down, and I guess I’ll just continue to report on a quarterly basis that is on track and we had any sit backs. You don’t expect there to be any because we've done a geotechnical drilling and the cover haul is in front of the drive, we’ve done the sterilization drilling, so we’re going to running through anything in surprise and the ground is good and strong and solid. So, we’re just setting ourselves up for success, they will be boring since 12 months.
Operator: Thank you. Your next question comes from Jeff Killeen from CIBC. Please go ahead.
Jeff Killeen: Maybe to start to Mick if I could New Zealand, as you have mentioned having some success with the pressure underground in terms of exploration. Have you allocated a similar budget for this year as you did in the last year and hoping to continue to grow those underground reserves?
Mick Wilkes: Yes, we have Jeff, it's about $2 million a year that we spend on exploration underground both in the [ground].
Jeff Killeen: And at this point do you have fairly clear targets of where you want to go with that to with that exploration drilling as oppose to where you’ve been so far?
Mick Wilkes: We’ve got fairly well proven methodology there as to how we do it and some good targets to drill. So if you’ve the thing the underground there is very expensive to drill from surface because you're talking about 800 meters down. And what we do is we put an exploration drive out into the hanging ore and drill down in front of the mining phases. So, it sort of hand enough -- it's underground, I mean had a two year life when it started in 2007 and still going at this moment.
Jeff Killeen: And then switching to Reefton, just thinking about getting closer would you expect in terms of things like reclamation or severance or any of those types of cost start to impact the operation this year or is that something we should be more thinking about for 2016?
Mick Wilkes: We’re talking about putting care and maintenance, so we will have redundancy costs at the end of this year and they affected into our cash flow moments and also we've got some limitation in doing throughout the quarter this year as we deal with lot of our business in New Zealand, we have ongoing reclamation and rehabilitation of our life terms and [driving] facilities, but the 2016 plan to involve some rehabilitation and now forward plans, the overall cost to put in the care maintenance has appeared is three years, four years is I think around $12 million to $15 million [to it] and we will -- that’s what affected into our forecast. Operator There is no further questions at this time. Please proceed.
Andrea Atell: That concludes a presentation for today. On behalf of the rest of the team and OceanaGold I would like to thank for your participation. And should you have any further questions please contact the company directly. Thank you.
Operator: Ladies and gentlemen this concludes your conference call today. We thank you for a participating. And ask that you please disconnect your lines.